Operator: Good morning, and welcome to the TD AMERITRADE June quarter earnings call. And now for opening remarks and introductions I would like to turn today’s conference over to Mr. Bill Murray, Managing Director of Investor Relations, Corporate Communications; please go ahead sir.
Bill Murray: Good morning everyone and welcome to our June quarter earnings call. We’ll be getting started in a minute. I’ll just cover a couple of administrative details but if you haven’t seen our press release you can find it on our website at www.amtd.com and as well as our presentation that we’ll be going over this morning. I’d also like to note that this call contains forward-looking statements that are made pursuant to the Safe Harbor Provisions of the Federal Securities Laws. These statements involve risks, uncertainties and assumptions that may cause actual results to differ materially from those anticipated. You are advised to review the risk factors contained in our most recent Annual Report Form 10-K and Quarterly Report Form 10-Q for descriptions of risks, uncertainties and assumptions related to the forward-looking statements. Management will be discussing some non-GAAP financial measures such as EBITDA and liquid assets. You can find a reconciliation of these financial measures to the most comparable GAAP financial measures in the slide presentation on our website at www.amtd.com. This call is intended for investors and analysts and may not be reproduced in the media in whole or in part without prior consent of TD AMERITRADE. At this time I’ll be turning the call over to our CEO, Joe Moglia and our CFO, Bill Gerber will be followed by some Q&A and then we’ll turn it back to Joe for some closing comments.
Joe Moglia: Thanks very much Bill, good morning everybody. Over the span of the last seven years you’ve probably heard me say a hundred times that I truly believe it’s our job to be able to manage our company in good times and in bad times. With the completion of the June quarter and with that under our belt, we have already earned about as much this year in three quarters as we did the entire year in 2007. When you take a look at the current market environment and the current economic picture, if you are anyhow related to the financial service sector or the housing industry, this is far more challenging and environment then what we had to face when the bubble burst in the early part of this decade and its as difficult an environment as our country has seen in this sector over the span of the last three to four decades. With all that as a backdrop I’ve got to tell you that I am incredibly proud of what our team has gone through with regards to the integration, the rollout of the client segmentation strategy, the effort to become asset gatherers, the movement to more of a sales organization, focused with education. I’m incredibly proud of what we have done and what we have accomplished in a difficult market environment. With regard to this quarter specifically some reasons why we think we did well, the individual investor continue to be engaged in the marketplace. Our organic asset growth continues to receive good traction from our clients as well as from our prospects and we’ve always said that one of our competitive advantages is both our ability to scale and at the power of our operating leverage and I think you’re going to be able to see that pretty clearly as far as this quarter goes. As far as the actual numbers, earnings for the quarter came in at $0.34, that’s the second best in our firm’s history. Net revenues came in at $624 million; almost 60% of those were driven by our assets. Pre-tax income came in at $328 million, pre-tax margins were 53%, net income $204 million, EBITDA about $370 million, ROE around 31% and our client assets are $309 billion which is a record for us. However, to give you a little better clarity around that, if you take away the Fiserv assets, that number would be $288 billion. Relative to where we were a year ago, that number is down about 4%. Relative to an S&P that’s down 15%. Those numbers would be accurate through the end of the June quarter. As part of those assets, assets are cash and money market funds, are about $50 billion, that’s about 16% of our overall client assets and that’s in line where we have generally been historical and our net new assets for the quarter are at $4 billion. Now earnings per share growth we think for the quarter is certainly an example of the power of our overall operating leverage especially in the market environment that we are currently facing. From last year to this year, the $0.34 represents a 31% increase, in terms of where we are but through the first three quarters our cumulative earnings is $1.05. The number for all of 2007 was $1.06. I think you can see the operating leverage probably most clearly when you look at the year-over-year change with regards to both revenue percent versus our expenses which are up about 3% and certainly our pre-tax margin as well has improved about six percentage points from where we were a year ago. Now to take a closer look at our revenues, our revenues overall are up around 15% but we always break down for you what the drivers behind those, revenues that are driven by transactions came in at about $259 million, which is up 25%. And revenues that are driven by assets came in up about 9%. The break down between revenues driven by assets versus transactions is about 60/40 and remember to put that in perspective a few years ago that same ratio would have been 30/70. Now with regards to trades per day, we continue to be the market leader with regards to trades. Year-over-year for the quarter we were up about 22% at a number for the quarter of almost 300,000 per day. Now if you take a look at where we are right now as far as July goes, through either yesterday or it was the day before yesterday, for July we’re averaging 321,000 trades a day. However, let me comment on that, remember because of the July 4th holiday there haven’t been a whole lot of days so far in July number one. Number two there were a couple of very, very big up-days. Again with entering the summer season and with everything going on in the economy we would be more conservative then suggesting that this number is going to hold up over the span of the rest of this quarter. You obviously would make your own assessment. With regards to the individual investor we talk about our clients as you know literally all the time and we truly genuinely believe that the individual investor is more savvy then what they were a few years ago. That’s part of the reason why they continue to be engaged in the markets. There are also things that we believe we provide that help them as they make some of their investment decisions. Our risk management tools, our portfolio allocation services, our focused sales efforts specifically on education. We think we’ve got a good solid options platform and by the way 75% of our clients receive price improvement when they get orders executed. Now with regards to the continued traction we see in asset gathering I would ask you as far as this slide goes to please focus on the two bars on the left hand side of the page. Revenue earning assets are up around 12%, that’s excluding Fiserv. Now that’s driven by our fee based balances which are up around 20%. To remind you that would be mutual funds, money market funds, Amerivest, AdvisorDirect. It’s also driven by our spread based balances which are about flat. But to give you greater color behind the spread based balances our margin and our MMDA balances are both up. What are down are the securities lending business. The margin balances and the MMDA balances are far more profitable to us then what securities lending is. Now in the beginning of 2008 one of the goals we established ourselves that we recorded in our outlook was that revenue earning assets would be up 16%; that was our goal. We said that it was aggressive. We continue to think it’s aggressive but we are definitely on track to be able to achieve that. And then finally if you just take a look at the very last bar on the page, our overall assets that are generating revenues are at about $110 billion. In terms of net new asset growth it was at $4 billion for the quarter. To give you a little bit more detail, we showed you what that looked like on a year-over-year basis, it was up 122% versus the same quarter last year and if you look at where we are year-to-date we’re at about $20 billion, that’s up around 108% of where we were a year ago. Net new assets as a percent of total assets a year ago was about 5%, this year as of the end of June is around 9%. We continue to believe in the traction that we’re achieving in our asset gathering. Now we have spent a lot of time in the past talking about the balance between our earnings and our pre-tax margins and why we’re doing specific investments for growth, our investments for growth are paying off. We see greater productivity in our branches, we continue to see strong referrals coming out of our call center and our client asset retention is much stronger today then where we were a year ago. Those are all things we feel very, very good about. Now starting this quarter we will provide you with a new metric that you can use as you like as far as your own models go. I would hope you all agree that we have worked very hard over the span of the last several years to make sure that we are as transparent as possible with all of you. It’s important for us that you’re able to accurately assess what we’re doing as far as our business goes and what your thoughts might be with regards to our future. When we started to actually make this shift and roll out our asset gathering effort, one of the first questions you asked was, alright now how are we going to evaluate you? What do you need to give us so we can do a better job of evaluating you, and you said that one of the things that you probably should count on the most is that we’re going to start to give you revenue generating assets? Then we decided we wanted to give you more color with regards to the revenue generating assets so we broke those down as a spread based and fee based. Then you for a long time you were asking for net new assets and we said okay, we’re going to give you net new assets. Now one of the metrics that probably provides less value or maybe rather then value, insight today then what it did four years ago is qualified accounts. So instead of qualified accounts we’re going to give you funded accounts. Funded accounts recognize are directly linked to a 100% of our assets and 100% of our revenues. These charts or these bars give you a little color of where we are so far as far as the funded accounts go. Overall funded accounts year-over-year are up around 6%. The annualized revenue per average funded account year-over-year is up about 8% and if you look at the average assets per funded account they’re about flat but that’s in light of an S&P that’s down 15%. Hopefully you will find funded accounts a useful metric as we move forward. And then with regards to the guidance we are raising guidance for fiscal 2008, we came in as you know now $0.04 over the mid-point of our June quarter; we’re going to take $0.02 of that similar to what we’ve been doing over the span of the last few quarters and we’re going to reinvest that back into our company. Most of that $0.02 will be used for technological infrastructure and security and the other $0.02 will flow back through to our earnings. So $1.32 now becomes $1.34 and that’s 26% ahead of where we were a year ago and again, when you put that in perspective in light of what’s going on with regards to the marketplace and the economy, we feel very, very good about that number. Now before I turn it over to Bill, just to discuss some of the things that would be helpful we think for you to be aware of the first deals with our cash position. Now we also think that in this market environment this is not an easy environment to be able to raise debt or be able to raise equity. And we think cash is at a premium. We also think that in this type of environment it’s smart to keep our powder dry. So we’re going to continue to raise cash the way we have been. With regards to the MMDA agreement that we have with TD many of you that we’ve chatted with with regards to the IR 101s have said you feel good about the agreement we have with TD; this one has been modified somewhat and extended five years. We feel good about that. Bill will give you the details of that in a few minutes. The Fiserv conversion will simply take place later on in the summer but it’s not going to have any impact to our 2008 earnings. Then as far as my personal—as far as I go personally, the bulk of my family’s net worth is tied up with TD AMERITRADE and my intent is to keep 80% of my overall position. I want to repeat that. My intent is to keep 80% of my overall position. But what I do sell will be done through a 10B51 plan where I sell a small piece, almost every day and after taxes, half of those proceeds will be used for charity and the other half will be used to actually diversify my personal portfolio. And then finally a comment on succession, there’s still about 10 weeks to go before we get to October 1st and I certainly recognize that I still have the responsibility for what happens to our firm over the span of the next 10 weeks. But I think in order to have a strong transition to Fred and the team going forward it would be important for me to start to turn over my direct responsibilities to Fred over the span of this quarter so that’ll be something we start to do. With that, let me turn it over to Bill.
Bill Gerber: Thanks Joe, as you all know we continue to work in a challenging bare market environment and the American consumer is under some significant stress. However despite those things TD AMERITRADE has again delivered another strong quarter and outstanding year-to-date numbers. Quite a feat for any company but particularly for a financial services company in 2008. So let’s take a closer look at some of our year-to-date highlights on slide 12 and following that I’ll discuss the June quarter directly. To date we’ve earned nearly $1.9 billion in revenue an 18% increase over the first nine months of 2007, and as we’ve discussed before our cash flow continues to be a strong point for us. We have brought in over $1.1 billion in EBITDA or 59% of our net revenues. This is 28% increase over 2007 levels and just shy of the $1.2 billion we generated in all of last year. And finally our EPS has increased 44% to $1.05 per share. In 2007 we earned $1.06 for the entire year. So with one full quarter to go I think you can pretty safely say that 2008 will become our sixth consecutive record year. Considering all that has happened in financial services or the last 18 months, I would imagine that there are not too many firms which can boast this type of performance. As Joe has said many times we have to run our business in good times and in bad. The prudent strategic decisions that we have made and continue to make regarding the growth of our company has served our shareholders quite well. So now let’s take a closer look at our June quarterly results on slide 13. Before I go through this page I want to call your attention to lines six and 11. As you can see on line six our net revenue was $624 million, up 15% or $82 million from last year. But now look at line 11; we made $0.34 per share in the quarter, up 31% from last year. This is the type of financial leverage we are looking for. Revenues up 15% but earnings per share up 31%. So how did we do it? Our transaction based revenue of $249 million increased $50 million or 25% year-over-year as client engagement has continued. Our increased trading activity was the primary reason for the additional revenue this quarter. Average trades per day came in at 298,000 or a 4.4% activity rate, up 53,000 trades per day from last year. Our average commission rate was up $0.16 to $13.07 as the percentage of options trades continues to remain strong at 12% of trades, stronger fixed income activity and our payment for order flow remains solid. On line four is asset based revenue which came in at $365 million, up $31 million year-over-year. Approximately 59% of our total revenues are asset based reinforcing the stability of our overall revenue stream. Our asset based revenues have two components noted on lines two and three. We saw a $17 million or 28% increase in fee based revenue, three-quarters of which is due to organic growth and the remainder is due to the Fiserv acquisition. As was the case last quarter the added balances from Fiserv earn a lower rate as compared to the legacy business driving the blended rate down to 39 basis points. Recall that mutual funds, money market funds, Amerivest and other products are the drivers of fee based revenue. Spread based revenues were up $14 million or 5% to $287 million. Spread based revenues are primarily from our MMDA program, margin loans and stock borrows stock loan business. About 70% of the increase is growth due to favorable spreads from the MMDA program and our stock lending business while the remaining 30% comes from the Fiserv acquisition. You’ll notice that despite the Fed cuts over the past year, we were able to expand our net interest margin again this quarter by nine basis points. This is primarily driven by the extension strategy we put in place on the MMDA portfolio over the past two years. Our earn rate on that portfolio has declined less then the pay rates of the clients resulting in a wider spread. And I’ll discuss spreads more in a few minutes. Now for expenses on line seven through nine, you’ll remember that the June quarter last year included the clearing conversion and therefore did not receive the full benefit of the synergies realized by the combination. As a result you’d expect our expenses this quarter to be down year-over-year. However, due to our investments for growth we have discussed 53,000 additional trades per day in the June, 2008 quarter versus last and additional costs related to Fiserv, we are up $9 million or 3% to $296 million in expenses. The amount of $5 million of this variance was from all expense line items outside of advertising and are in line with our outlook guidance. We are pleased with the results we are seeing from our advertising spend. During the quarter we spent approximately $37 million in advertising, an increase of $4 million year-over-year resulting in 148,000 new accounts with a cost per account of $248.00. This spend was about $2 million above our outlook range primarily due to higher success levels of some of our promotional campaigns then we had anticipated, certainly that’s a nice problem for us to have. Lastly you can see our effective tax rate for the quarter was 37.7% which was equal to the June, 2007 quarterly rate. Let’s take a moment now to talk more about what we’re seeing with regards to net interest margin on slide 14. This has been a tough interest rate environment as a result of the Fed Funds Rate decreasing from 5.25% in June of last year to the current rate of 2%. We believe we’ve done a good job managing our NIM in this environment based again on our MMDA strategy and managing the client credit interest rates. So note the flatness of our NIM line. However as the Fed Funds Rate has fallen the reinvestment rate of the MMDA portfolio has also gone down, plus that ability to manage client credit rates has become smaller. Thus we are beginning to feel some modest spread compression. Approximately 15% of the MMDA portfolio re-prices on an annual basis, so unless there’s an increase in the Fed Funds Rate or the slope of the intermediate portion of the yield curve increases, you should assume that we will see further NIM compression. For the September quarter we are forecasting our NIM to be down seven basis points over the June quarter to 3.55%. On a positive note we have recently extended our MMDA agreement with TD Bank USA to a new five year term with a two year cancellation notice period, from our former two year term with a one year notice period. Additionally we have agreed to a LIBOR based fee for all new cash investments in the portfolio, this will help mitigate our NIM compression going forward. We believe the MMDA extension has been very important to TD AMERITRADE since its inception and are very happy to have it extended under these terms. As always we will provide greater clarity on 2009 in the October earnings call. So let’s turn to liquid assets for the quarter on slide 15, we continue to excel as a cash generator which allows us to be flexible in making financial decisions that best impact the firm. This is especially important in managing a company such as ours through a difficult environment when new opportunities tend to change and move quickly. We started the quarter at $517 million in liquid assets. We earned $204 million in net income in the June quarter and had $25 million in depreciation and amortization. We used $20 million to satisfy regulatory capital requirements and $13 million for capital expenditures and other expenditures. We made a mandatory debt payment of $9 million and we used $17 million to buyback approximately 1 million shares of our stock. That leaves us with $687 million in liquid assets. As you know, there are only five ways in which you can use your cash; debt repayment, stock buyback, acquisitions, funding additional organic growth, or paying a dividend. Since our January, 2006 $6.00 per share dividend we have done four of the five possible cash uses with regularity and we continue to review our capital structure and the opportunities available to us with our Board of Directors to determine the optimal uses of our free cash flow. We have great financial flexibility and will ensure that we are best utilizing our cash. As both Joe and I have said before in a difficult market environment the potential for greater opportunity to enhance our business via scale, functionality, or reinvestment increases. Therefore it’s wise to keep extra cash on hand in these situations. We are once again providing our sensitivity information on slide 16, it is our hope that providing this information will give you as transparent a window as possible into the impact that additional changes could have on our earnings. As the market environment continues to evolve, I want to take this opportunity to mention one change to this information. Looking at the prospect of new Fed moves, or the last bullet on this slide, we have updated the information to show that an upward movement of 25 basis points will amount to an additional $0.01 of earnings growth. On the flipside however, a downward movement of 25 basis points will equal a decrease of about $0.02. The larger decrease is directly related to the spread compression pressures mentioned earlier. So what are the key takeaways for the June quarter? Despite the difficult market environment we just delivered a fantastic quarter, the second best quarter in our history of 31% over a year ago. Clients remain engaged and trading activity continued strong. Additionally we are continuing or success in our asset gathering efforts. Entering the fourth quarter we have increased our 2008 guidance by $0.02 to $1.34 per share. This would be a 26% increase over 2007. And again all of these results are a credit to our strong conservative balance sheet. We believe in prudent fiscal management and transparency at every level with a focus on long-term growth. Staying this course has allowed us to continue fine tuning our asset gathering efforts and delivering improved products and services to our clients. And finally we are generating significant cash and keeping our cash available for opportunities. At TD AMERITRADE we continue to show resilience in tough markets. We continue to deliver double-digit growth as we manage our company with a firm focus on our long-term growth objectives. And we continue to be very proud of our team in delivering those results and look forward to the remainder of 2008 and finalizing our 2009 plans. So Joe will soon be leaving the CEO chair with a company that’s distinctly different then when he arrived in March, 2001. Some quick examples of the changes, in March, 2001 our company had $119 million in net revenues and a loss of $54 million. In the June quarter of 2008 we had $624 million in net revenues and $204 million in net income. In March, 2001 we had $198 million of stockholders equity while in June, 2008 we are almost at $2.8 billion in stockholder equity and in March, 2001 AMERITRADE had a market capitalization of about $700 million whereas today the market cap is approaching $12 billion. Obviously the TD AMERITRADE of today is very healthy and well positioned for growth. Joe’s leadership and the transformation of the company over the past seven plus years speaks for itself. And as Fred takes over, he and the rest of our management team recognize the opportunities and challenges ahead of us. But we continue to look forward to the future of TD AMERITRADE with great confidence and we welcome our new Chairman of the Board effective October 1st. With that we’ll open it up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Richard Repetto - Sandler O'Neill
Richard Repetto: On the retail engagement activity the 11% up in July and I know you mentioned the tools and why you think AMERITRADE but the industry is pretty stable too. So the question is is it the active trader that has traded more, because at least Tom Joyce yesterday sort of mentioned that the mom and pop guy might be pulling back. Any more color and we know you have great tools but the industry is doing well too.
Joe Moglia: Your question specifically I think is with regards to the sentiment and what’s going on and the behavior of the individual investor and breaking those down between the active trader and the more broad based investor, and what we saw up until about the beginning of June was it was incredibly broad based. As of June especially, remember the retail investor is a lagging indicator in terms of what goes on in the marketplace. June was a very, very difficult month as far as the market goes so what we saw was some of your typical investor slowdown and we saw more of a pick up in the active trader space. I think what you had seen and what Tom had said he had seen in June was accurate. If you see a pick up or a stability over the span over the rest of the summer with regard to the markets, I think it’ll be more broad based but for June your insight on that is good.
Richard Repetto: With regard to the investment spending, we’ve had good retail engagements, that has given you a good backdrop but—well I think you had great results too, but to look back to the investments I’m coming up with if you take a couple of cents this quarter, a couple of cents from the interest expense that isn’t being rolled in, $0.05 from January, $0.10 from last year, it comes out $0.18 to $0.20. I guess how do you look at your return on that spending thus far?
Joe Moglia: I think the number, at least in my head, is $0.17. Its $100 million was the original number we talked about and then there was another $50 million and the $0.02 we’re talking about today, if its $0.18 or a little bit more then that, all that’s okay. But we know that that approximate number is around the $0.17. Our philosophy on that is similar to what we’ve talked about for quite a while. I think we have incredible pre-tax margins. We have incredible pre-tax margins because we do a good job of managing our business. As part of managing the business we look at being able to reallocate, we’ve got an opportunity we think to be able to grow sustainable quality long-term earnings, if that means potentially reallocating some of the pre-tax margins into our investments for growth we will do that. So the dollars at least that we have spent so far if you recall back when we did the original $100 million, we said look, we believe this is going to work. If it works, we’re going to continue to fund some things. If it doesn’t work, we’re going to eliminate those. Most of the things that we did back then worked. That’s why we went with the next $50 million. Most of those things worked, that’s why we’re going with another $20 million. So I think we recognize that we’ve got an incredible fiduciary responsibility to our shareholders that we will look at that dynamically. So if at some point in time we think that it doesn’t make sense to do those reinvestments we won’t. But that’ll be a decision frankly we’d make on a month to month basis and we look at it pretty critically. So far I feel very good about the decisions that’s we’ve made.
Richard Repetto: Is this your last conference call?
Joe Moglia: What I will do is, I will as far as October goes, I will review the results of 2008 but this will be the last conference call that I host. In October once I review 2008, I’ll turn it over to Fred.
Operator: Your next question comes from the line of Prashant Bhatia – Citigroup Global Markets
Prashant Bhatia: The net new assets I guess year-to-date about $20 billion, could you give us a little bit of color on what maybe the one or two big drivers of that number is?
Joe Moglia: Keep in mind a year ago we really didn’t have a competitive offering for the long-term investor, I believe today we do. I think the investment for growth is paying off. I do think we’re seeing take-up in our portfolio allocation services. Remember that our sales effort is one focused around education. We are definitely seeing enhanced productivity with regard to the branches. We’re seeing better overall service as well as strong referrals from the call center with regards to clients and back to the sales organization. And we’ve seen a pick up in client asset retention over the span of the last year or so as well, and a part of that is because more of our clients today are consolidating with us, whereas a year ago we didn’t have a comprehensive enough solution for them to be able to come to us with.
Prashant Bhatia: Just on that point what’s the expected—what are some of the key products that you’re going to launch to give them an even more complete set? Do you have kind of a plan for the rest of the year in terms of what we can expect there?
Joe Moglia: Yes, we just recently announced Pattern Matcher which is a sophisticated chart type of tool and service that our clients will be able to take advantage of. We continue looking at enhancing our conditional orders or the tools associated with that. We’re going to rollout in the fall, Fred will talk to you more about this in October, a more enhanced version with regards to Amerivest. We also already been rolling out more of a fixed income product and service and the ability to do fixed income ladders online as well. We have fixed income wizards to be able to do that. We’re always working on a multiplicity of things. We try to focus on the ones that our clients give us feedback in, is it something that they care about and will use. \
Prashant Bhatia: Just on the portfolio that’s re-pricing you said about 15% a year, as that rolls off are you going to stay more short duration on that portfolio and maybe take a little bit more of short-term paying or are you just going to roll that out on a three year basis again?
Joe Moglia: No, remember we don’t do anything blindly. So that will be a function of literally what the market looks like at that particular point in time, what rates look like, what’s the shape of the curve, etc. So those decisions get made frankly when you need to make those decisions.
Prashant Bhatia: On headcount, where are you now in terms of sales force and how much does that grow by the end of the year and same on just overall headcount, just growth budget there?
Joe Moglia: The overall sales representation throughout the country for us is about 750. We try to manage that dynamically as well. If there are branches or parts of the country that we think potentially by having increased sales people would enhance that productivity we won’t hesitate to do that. So we don’t hesitate to add sales where we think it makes sense.
Bill Gerber: Its 4,600 FTEs.
Operator: Your next question comes from the line of Howard Chen - Credit Suisse
Howard Chen: Can you give us an update on some of the other investment initiatives, cash management strategies, the enhanced fixed income capabilities and any early returns from what you may be seeing from pilot kiosks that I know you tried to implement?
Joe Moglia: We have definitely seen a pick up in our overall fixed income business. We’ve seen a pick up in our mutual fund business. We’ve seen a pick up in our Amerivest business. We continue to work on rolling out different types of products and offerings with regards to our cash management, with regards to the pilots and the kiosk idea, that’s really still early and Fred will give you more of an update later on when we think we’ve actually learned something from that. But those are all the things—remember our client segmentation strategy is incredibly focused and we really do believe in the philosophy that we exist for the benefit of our clients and shareholders. So when we spend time working on new products and services we work very, very hard to make sure the products and services that our clients care about and that we can earn some small return on as well.
Howard Chen: On the cash management strategies, can you share any sense of timing, it seems like clearly what’s going on in the overall broader markets is a good opportunity to tap into that side of a customer’s balance sheet.
Joe Moglia: Yes, we certainly agree with you. We are looking at a number of things now and experimenting with a number of things now, a higher yielding product, a different type of checking account, we’re looking at credit cards etc. What’s going to happen is we will continue to look at those things and we’ll make decisions on some of those things I think over the span of this quarter and Fred will give you more color on that in October.
Howard Chen: Can you provide some more details on the movements within the securities borrowing lending results, it looks to me that was on a net basis a positive contribution this quarter but maybe that has something to do with the funding of the margin loan business? I just wanted to get your sense of the moving parts of that.
Bill Gerber: I might have to get back to you on that one specifically. There’s a lot of moving parts in the stock borrow stock loan and I can break it down but I’m not sure I can do it on the fly here.
Operator: Your next question comes from the line of Roger Freeman – Lehman Brothers
Roger Freeman: I wanted to come back to a comment you made at the very beginning just comparing this environment to the bursting of the bubble, was that comment about the economy at large? Because I would think anybody in the retail equities business probably wouldn’t be saying that because equities by and large have gotten off easily so far. Or is this a comment about how you expect all this to play out over the next 12 to 24 months?
Joe Moglia: No I think it was a comment specifically about what’s going on in general as far as financial services goes and the impact that that has. Think about the involvement that Bernanke has, think about the involvement that Paulson has and the reason why I compare that to what’s gone on in 2000 and 2003, in 2000 and 2003 while it was painful across the board, the real hits came directly to technology and places line online brokerage. I think the devastation that has taken place within financial services for those firms that even have any sort of relation whatsoever to how you manage your balance sheet, the exposure to what’s going on with regards to the housing market I think has been devastating. There is no point in the day where you can’t turn on the television or read an article where the media is not talking about that. So what I referenced specifically was the financial services as a sector. I realize the retail equity business doesn’t particularly touch that. But there are a lot of firms that have good retail equity businesses that have hurt themselves because of the way they’ve managed their balance sheet and the way they’ve managed expenses and the way they’ve executed strategies in other areas.
Roger Freeman: How do you think about over the next year or two the negative effect from housing how that could play out and availability of funds for retail investors to actually put to work and trade?
Joe Moglia: I think there isn’t any question that we’re seeing a slowdown with regard to the economy number one. Number two I think the reality is we are in the middle of certainly one of the most significant credit cycles that we have seen in the history, certainly in the last three or four decades. I think, I think, now I don’t know if it’s at the bottom. I think we’ve seen some pretty reasonable results over the span of the last 24 hours by some of the firms in financial services, but I think—whether or not the worst is behind us, we don’t know yet. But I do think whereas a year ago, remember it was about 15 months ago, people started to talk about the subprime problem and the impact that it had on the market didn’t even begin yet. So today everybody in the world is talking about. Do you know every CEO that has this type of problem wants to honestly truly address it and get it behind them? You know that you’ve got Washington involved. Whether or not you believe they’re doing the right thing or the wrong thing, you know they’re trying to do the right thing. So I think the key is I think—I’d like to think that this cycle so far has taken about 12 or 13 months. It probably has another six to 12 months to go as we start to come out of it. I think things will become more positive. For the individual family though no matter how you cut it, the value of their home is down. The prices that they pay for food and energy are up. That’s got to affect their spending habits. So it’s got to have some sort of an impact but I think it’s just a cycle that we’re going to have to be able to get through.
Roger Freeman: When I look at your investment product fees, they kind of flat lined 2Q to 3Q, they’ve been growing sequentially, the yield on that decline, can you just talk to whatever has changed from a mix standpoint maybe in terms of which products customers are using that drove a flattening of that?
Bill Gerber: Basically with the Fiserv assets came on board they came in at a lower yield then what our historical assets had and so that’s what drove the—as I mentioned in my remarks, that’s what drove the spread down the 39 bps.
Roger Freeman: But when you say actually revenues, 77.6 versus 77.7 last quarter was flat, and it has been growing sequentially so I’m just curious what is driving that.
Bill Gerber: Its basically flat quarter-over-quarter because the total yield and we did have flatness in the mutual funds.
Roger Freeman: On your stock lending borrowing business how do you think about the proposed changes to the short for [sell] rules, obviously now just a few stocks, if that were to be expanded your net lender, does that improve the rates that you can charge for--?
Joe Moglia: I’m not sure if it improves the rate. Our team is looking at that right now. The impact that we think it has on the individual investors is probably pretty small. I think all of this was prompted by some of the questions that have taken place in the industry with regards to the breakdown of a couple of pretty major firms and I think there are some questions around that. So exactly what winds up happening about that, I think will be in Committee probably for a little while. We are not planning that this is going to wind up being any benefit or negative as far as we’re concerned. Our involvement is going to be more to what extent it impacts the role of the individual investor and we’re not sure what that is yet.
Roger Freeman: On your interest rate sensitivity table, if you were to look at more then 125 basis point cut would the impact be more then $0.02 if you think about that there may still be some pass-through and that you’ve got built in for one more cut?
Bill Gerber: It would probably accelerate more then $0.02—I mean it would more then double, yes.
Operator: Your next question comes from the line of Michael Vinciquerra - BMO Capital Markets
Michael Vinciquerra: Just looking at the brokerage interest expense, its down 41% sequentially, can you break that down roughly between what was going on with the securities lending side versus what was just really tied to lowering the rates you’re paying your clients?
Bill Gerber: Lowering the rates we pay the clients is a big driver in that, but stock loan was certainly a major component as well. It might even be 50-50.
Michael Vinciquerra: On the other expense line was down substantially only about $6.5 million this quarter was there any credits that ran through there or was it just this is a new run rate in terms of miscellaneous costs?
Bill Gerber: We had a positive arbitration settlement on legacy Waterhouse that came through this quarter and we collected funds back from the Bear, Stearns write-down that we had in the March quarter.
Michael Vinciquerra: And that amounted to about what between the two?
Bill Gerber: Probably close to $2.5 million to $3 million.
Michael Vinciquerra: On the Amerivest is this program where you imagine, I can’t remember exactly when you launched it, maybe three or four years ago now, but is it where you thought it might be in terms of pick up from clients and who are the folks that are actually using that today? What’s the demographic, is it your higher end clients or just a mix across the board?
Joe Moglia: When we first rolled it out, remember we piloted it for awhile and came back to you and said one of the things that we learned when we piloted it is that the clients didn’t quite understand it. So they didn’t really understand what diversification meant for example. They didn’t really understand what rebalancing meant. So what told us was that we needed more of a sales effort around it. So then when we did the Waterhouse acquisition, that was going to give us the opportunity to be able to do that and then we had to be able to integrate it. So in terms of the ability on the part of our sales people to actually really go out and be able to sell that that is not even really a year old yet. So based on that I do think it takes time. There has been excellent take-up I think so far. I think this is one of those things that’ll build on itself and continue to build. I do think it’s a competitive advantage in the marketplace. And I do think it’s a perfect fit for our clients. Most of what we have seen so far, our sales force uses that to enhance the portfolios of some of the current clients we have but they also use it as far as prospects go. For our prospects very, very often its one of the early things that they show them once they go through a risk profile and what they’re goals and their dreams and their wishes and their thoughts are. It is the older part of our client base because most of the time they think about this as a plan for retirement.
Michael Vinciquerra: On the outlook statement your expectations for pre-tax margins dropped about 47 to 50, it looks like it’s entirely driven by your assumption that trading slows pretty noticeably, is that true?
Bill Gerber: Yes, that’s exactly right. And one clarification on the other expense trap, that was about $4 million to $5 million, not $2 million to $3 million.
Operator: Your next question comes from the line of Michael Carrier - UBS
Michael Carrier: A follow-up on the net new assets you have been doing a good job on that over the past couple of quarters and it seems like your platform is new, you’ve made a lot of investments, I’m just trying to get a sense of what portion of that is redemptions of your current client base or bringing new assets that were outside of your current clients into the AMERITRADE versus the industry right now whether its other online brokers or the wire houses are in disarray, it seems like a good opportunity to be taking share from outside the firm, but I just don’t know is your platform and your brand still too new to be really benefiting on that side.
Joe Moglia: A couple of things, first while the brand is new keep in mind that we rolled out the brand extension strategy so to speak a couple of years ago even before that soon after we had closed the deal so we’ve been rolling out the same brand messages for the last couple of years number one. Number two I have made the analogy before to like in the active trading business its like we’re college students but in the asset gathering business and the long-term investor business we’re like in second or third grade. I’d say a year and a half ago we were probably embryos. So I am delighted with where we are today but I think we have a long way to go and I think that’s an incredible opportunity for us and I think we’re going to get better at this year after year. With regards to where the actual assets are coming from keep in mind that our clients only have about 12% of their assets with us, so many of them, most of them, probably almost all of them, have a lot of their other assets with full commission firms. We are seeing our clients bring more of their money to us, that is probably coming from full commission firms and we are seeing new money coming in the door as well. We don’t know exactly where that comes from. But I think frankly remember our target and our focus is the mass affluent and I think in difficult market environments I think we’re right there. So your thoughts as to where we might be able to pick up share, where we might be picking up share I think is right on.
Michael Carrier: On the MMDA the new agreement, can you just go over—it used to be a flat fee, you said it was more based on LIBOR now, just wondering what’s the difference between what you get and then what the customers are going to get going forward.
Bill Gerber: The MMDA fee really we did not get a flat fee before, we got a fee that was essentially what the portfolio earned less what we paid the client less the fee to TD Bank USA that really is not changing. One example of what is changing is we used to get Fed Funds on the very short-term cash, so 2% and now we’re going to get LIBOR on that so one month LIBOR, there’s going to be a pick up in there. That’s an example of what’s going on with the MMDA.
Michael Carrier: And the fee that you pay TD Bank that’s the flat fee and that’s not going to change?
Bill Gerber: That’s correct.
Michael Carrier: On other revenues you had an increase sequentially I just wondered if there was anything in there, sometimes you have different things whether its stock splits or anything like that in the market that picks that up.
Bill Gerber: This we had a lot more proxy and advisor transfer fees that came in in the quarter.
Michael Carrier: Was it around $3 million?
Bill Gerber: Yes that’s about right.
Operator: Your next question comes from the line of Brian Bedell – Merrill Lynch
Brian Bedell: Going back to your operating margin goals have been generally in this environment about 50%, but just trying to get the sense of to what degree you would let margins expand beyond that versus thinking about making new investments in the business.
Joe Moglia: I think you’re referring to pre-tax margins as opposed to operating margins and yes our goal there is 50% or better and the way I’ve explained that in the past and the way it works internally here within TD AMERITRADE is if you are a business leader and you understand what our mission is, you understand what our focus is, and you understand what we’re trying to do, and you’ve got reasons for why you want to reinvest in a particular initiative or project we listen to that. We believe in it, and especially if you’ve done that in the past we’ll do it again. We’ll back you and support you on that. We just expect it to work out okay. If it doesn’t work out okay, those dollars get redeployed elsewhere or else get eliminated as far as our expense line goes. We will not, in the absence of that, all of our leaders understand that pre-tax margin is an important thing to us. So it’s a good discipline for our business leaders to be able to have, that they know that they’ve got to be able to deliver pre-tax margin. One way to do that is do a wonderful job of controlling their expenses. But they also understand what we’re trying to do when we’re trying to grow say two years down the road, and they try to balance that. That’s part of the reason why earlier I said that this is something we look at on a very, very regular basis and we don’t make a decision today necessarily for how we’re going to spend our money next year, but we’ll make decisions today how we think we can best spend our money today that’ll benefit us the most next year. And that’s how we approach that.
Brian Bedell: On the other expenses, I think you said it was $4 million to $5 million that was unusually low so should we be thinking of that as just—of an $11 million to $12 million run rate?
Bill Gerber: Yes, that’s probably close.
Brian Bedell: You were talking about July being obviously very strong so far, is that July to date, is that through yesterday?
Joe Moglia: The day before yesterday.
Brian Bedell: Clearly we would expect a summer slowdown obviously but what’s your sense of the trend within July, has it been tapering off in the last few days because basically you’d have to have a really big slowdown to even hit the middle of your dart range.
Joe Moglia: Remember I think one of the things, just keep in mind that July while we’re in the middle of July, we still had the first week of July was really holiday oriented. So when we’re giving this number, we’re just pointing out that we’ve had incredible volatility in the market in the last week or so and we had a couple of very, very big days. We still have a solid 10 weeks to go. So in light of not just the potential summer slowdown, but in light of the economy and everything that’s going on we think we’re being prudent to leave trades per day where they are.
Brian Bedell: On the asset gathering, I calculated about a 5% organic growth rate annualized this quarter, can you just reconcile what proportion of that was due to your clients paying taxes that naturally hurts it and if you still had any unusual benefit from E*TRADE [inaudible]?
Joe Moglia: Yes, most of the impact with regards to clients having to pay taxes has already taken place this quarter. We don’t expect that to be, that continue for let’s say for the rest of this year or at least going into next year number one. Number two we reported on the E*TRADE situation on the last quarter, we had said that by the end of February that had pretty much, that had all tapered off. So there’s nothing new to add on the E*TRADE thing other then what we’ve already reported to you.
Brian Bedell: So you’re doing this all on your own at this stage?
Joe Moglia: Yes.
Brian Bedell: Just back to the taxes, so the $4 billion, what would that number be if you include the tax, I’m just trying to get it to a normalized organic growth rate.
Joe Moglia: It’s a difficult one to be able to say and I think by the way when you look at organic growth rate you figure you have, ex the E*TRADE transfers if you like and look at what we’ve done so far over the span of the first nine months and kind of like back into that I think as opposed to look at one quarter and try to estimate for taxes.
Operator: Your next question comes from the line of Michael Hecht - Banc of America Securities
Michael Hecht: On margin balances, it looks like they were up about 1% quarter-over-quarter, and yesterday out of [Schwa] we say a bit better, closer to actually 15%, I was hoping you could just dig in a little bit there and tell us what’s going on.
Joe Moglia: Margin balances I think were up about $800 million. And MMDA balances were up around $400 million. I think when you see a lot of activity going on with regards to the marketplace and you see a lot of that type of activity there is a correlation with enhanced activity and enhanced volatility and what you might see as far as margins go. Keep in mind we said earlier that retail is a lagging indicator in terms of what goes on, and in June there was some investors that started to get a little nervous because of the significant down move as far as the market goes. So we would assume all of that would have some sort of an impact. But the bottom line is we feel pretty comfortable about where that number is.
Michael Hecht: Just to clarify on the guidance even moving from a mid point of $1.32 to $1.34 looks like you anticipate a $0.29 for the fourth quarter versus the street at $0.32, should we just take that to mean we’re all a bit too high here?
Joe Moglia: Well I think what you should take it to mean is just that when you look at—(a) here’s what we’re giving you. Remember we just took $0.02 and we reinvested that back into the company. So that’s approximately $20 million. We don’t think because of what’s going on with regards to the season or the economy it makes sense to change our trades per day forecast for the September quarter. You’re clearly going to make your own decision as far as that goes. We have left our revenue asset targets at 16% for the year, we have left those intact. Revenues are pretty much intact. So I think you want to take those and factor those into your own models.
Operator: Your final question comes from the line of Matt Snowling – Friedman, Billings, Ramsey
Matt Snowling: You may have mentioned that the funded accounts driving 100% of the revenues, I was just wondering if there’s any plans to purge the $2 million unfunded accounts, would there be any cost savings.
Joe Moglia: Right now there’s not. Keep in mind that these clients are clients that we have relationships with and frankly we want to work that with. It’s not uncommon for a client to come back and re-fund those particular accounts and frankly the cost to maintain those is minimal. So we think its good business frankly to be able to keep those and we’re going to try to maximize what we think we might be able to provide from those accounts over time.
Matt Snowling: So essentially a hot lead list.
Joe Moglia: It’s not a hot lead list if they’ve already been here and they’re unfunded but it’s kind of like a cold lead list. But remember we have relationships here.
Operator: And that concludes today’s question-and-answer session; I would like to turn the call back over to Mr. Joe Moglia for any additional or closing remarks.
Joe Moglia: We plan as I think everybody does, we plan pretty hard for earnings and I was surprised by the comments that Bill had made and I know he and the team had worked those—at the end of his prepared remarks so to Bill and the team I want to just say personally thank you. As far as all of you go there are many of you that I have developed relationships with over the span of the last several years. It is certainly my intent to be able to maintain those relationships and in some cases friendships with, hopefully I hope that all of you feel the same. Per what Bill said, I really am incredibly proud of what we have done as a team here at TD AMERITRADE over the span of the last seven years. I will work very hard to be the best Chairman for our firm that I possibly can be. It has been an absolute honor for me to have been our CEO and for those of you that have given us your support over the years; from the bottom of my heart I thank you for that. Thanks for joining us this morning. Have a great summer.